Operator: Welcome to the Ur-Energy First Quarter 2016 Webcast and Teleconference. All participants will be in listen-only mode. [Operator Instructions] After today's presentation there will be an opportunity to ask questions. [Operator Instructions] Please note this conference is being recorded. I would now like to turn the conference over to Rich Boberg, Senior Director, Investor Public Relations. Mr. Boberg, please go ahead.
Rich Boberg: Thank you for joining us today for our first quarter 2016 webcast and teleconference. We are required to draw the attention of all of our listeners to the legal disclaimers contained in this morning's slide presentation, which apply equally to our oral presentation today. At slide 2, you will find legal disclaimers with regard to forward-looking statements, risk factors and projections, as well as other cautionary notes to U.S. investors. We ask that you read and consider these disclaimers carefully before investing in our shares. As well, risk factors inherent in forward-looking statements and projections are set forth and discussed in the Company's Annual Report on Form 10-K, filed February 26, 2016, with the U.S. Securities and Exchange on EDGAR and with securities regulatory authorities in Canada on SEDAR. I would now like to introduce and turn the webcast presentation over to our Chair and Executive Director, Jeff Klenda.
Jeffrey Klenda: Great, thank you very much Rich and good morning, everyone, and thank you for joining us today. We are still on the disclaimer page and so I will make just a brief note that I will tend to make forward-looking statements must to the [indiscernible] of our legal counsel but as usually the case I will attempt to identify them as such when I make them. If we go ahead and get started today we’ll move on to slide number 3, and here we have our areas of primary emphasis as a company and what we’ll try and do is cover these today in this order and that’ll be done by myself along with Steve Hatten our VP of Operations, Roger Smith our CFO and then of course, we’ll open it up to Q&A. But if you look at the slide here, the first bullet point, our resource growth, during the first quarter, of course this has continued to be in area of [indiscernible] for us and we were able to complete an updated PEA in February. We feel that it is very high priority to demonstrate organic growth as a company and we actually had a very good year along these lines last year. Second bullet point, realizing better sales through long term sales agreements, has long been a high priority for this company. And the simple fact of the matter is, is that we’re only as good as our contracts. The reality is, is that we find ourselves in a very difficult business right now. The first quarter as much as I would like say that it was uneventful, the simple fact is that in the Uranium space is simply was not, we continue to find ourselves characterized by elevated inventories, limited demand and over supply. And as a result of that, we’ve actually seen our spot price drop by $5 during the quarter and the unmet requirements by U.S. utilities declined to just a little over £3 million. Most of us had followed the announcements and the operations of our industry leader KAMICO through the quarter. I thought that they took a very bold step a couple of weeks ago when they announced that they were closing down some operations both in the United States and Canada. And frankly I think that’s a very good move and we need to see more of that, but the reality is that those companies with strong legacy contracts, higher prices are absolutely in the best position to withstand this market place that we find ourselves in currently. Beyond that, we are focused on the operations and our production at Lost Creek facility where we continue to attempt to find that ever losing steady state of production. We are now approaching £2 million that we have produced at Lost Creek and it is proven to be a truly exceptional property. Finally with respect to Pathfinder Shirley Basin, of course is our next project and particularly in this environment the thing that we find very positive and our message there with respect to Shirley Basin is that we can advance the permitting and licensing there at very low cost to the corporation and this is something that’s significant in this market place. Moving on to the next slide, slide number four, our share capital and market position, this is something that of course is – we put out to the public on an ongoing basis, it’s something that we are very tentative too. It has been our primary goal over the last several years, particularly since Fukushima which is now five years in the rear view mirror and has proven to be a very difficult time for every one of us in this industry. It is now more important than ever before that we’d be very mindful of our market cap and our capital structure and dilution during this time. As a result, we have what we have been very attentive to this and we have been very reluctant to engage in any sort of dilutive financings. We actually in the first quarter found ourselves in a position as a result of a delayed delivery to one of our utilities in a position where that was about a $12.5 million transaction that got postponed out of the first quarter and while we are very well positioned as far as a uranium company is concerned in this industry, we were simply not able to withstand the delay or the postponed and with the $12.5 million transaction. So we came into the market place and we raised roughly $6.5 million in a bought deal financing, that actually proved to be done very efficiently and it demonstrated that we do have the ability to go into the market place, the capital markets are available to us even during challenging times. But this is something that we will continue to stay mindful off. Moving on, as I mentioned we will take the bullet points in sequence from the first page. And the first thing that we’d like to talk about is our growth from last year, our resource growth. As we were going into calendar year 2015, we challenged our geological staff to grow our resources and moreover we challenged them to do it on a budget and they delivered and they delivered in a magnificent way. As most of you know, our philosophy with respect to this is much different than some of our peers. We believe in organic growth and we think that the most meaning pounds that we can deliver our goals that are under pattern or in and around our production areas and our processing plan, and that precisely what we pursued last year. You can take a look at the bar chart here on slide number five, and if you look to the left, we had just a little over £6 million at the time of Fukushima in March of 2011. I’m very proud of what we’ve been able to accomplish here when we completed our PEA in February which was necessitated by this resource growth. We came in at just under £20 million, and so this is something that I think is very novel, we have always said that we felt that Lost Creek is a very scalable resource and this has been a forward-looking statement but we think that there is much more growth ahead of it. But one of the things that we feel is very important and that is that we continue to demonstrate that we are not just going to be replacing the pounds that we’re producing but that we are going to be growing our resource aggressively at the same time. And as I mentioned the growth in our resources necessitated the revision of our technical reports and also of our PEA and I think that what we came up with last year 2015 were very impressive results. I think to put this thing in perspective, let’s be candid. Preliminary economics assessments are often times little more than massive exercises in forward-looking statements, but I think in our case one of the things that differentiates us is that, when we updated our technical reports in our PEA came about as a result of very solid history of production that we were experienced out at Lost Creek. And so you can take a look at the first three points in the upper part of the page there, there were really three areas that contributed to our resource growth. The first was that we were – we had developed our mine unit number one and we were doing further delineation in mine unit number two and we were experiencing resource growth in that process. In addition to that, we had an exploration program that was 59 holes last year and in the second phase, it was completed in the second half of the year. And finally we lowered GT cut off to 0.20, all of these things combined resulted in phenomenal resource growth last year. You can see the summary of the economics, I won’t go over those with you on the right hand side of the lower right hand side of the page, but I would direct your attention to the last bullet point there and that is that the net result of all this and the take away from our updating of our resources last year was that we extended our life of mine by a 10 year period from 2021 to 2031. Now I will say is a bit of a forward-looking statement, this year we anticipate that resource growth this year will come from the further developments of mine unit number two, but we think that that we don’t – I won’t make any projections as to what those, what that resource growth will be but that will be the source of the resource growth this year. Moving on to slide number seven, any of you who know that this is really our greatest strength in the market place as a company our long-term sales agreement with U.S. utilities. And one of the things that I would emphasize here is that, over the course of the last four years as we built up our off take book or long-term sales book, our board is to be commended, it took a lot of courage and foresight to do that during the time when everyone in our industry seem to be absolutely convince that higher prices were right around the corner and that this was something that was inevitable and often times, in fact, in almost every case we were criticized for the long-term sales contracts that we were putting in place. And again it takes courage for our board our directors to move forward and to aggressively contract and protect it’s company, protect its shareholder base against difficult times in the industry and to do that in the phase of criticism. But if you take a look at the second bullet point there, we’re very proud of the fact that we have built a delivery book of in excess of £3 million between now and calendar year 2021 at an average price of just under $50 a pound. You can see what our deliveries were in 2015 and also what they are going to be in 2016. And as a result of this, we are on a cash basis currently realizing $30 margins in a sub $30 environment, this is something that’s truly extraordinary and that nobody else in our industry is doing. And that’s not just a function of high long-term contracts but that’s also a function of low operating cost. So to give you some detail on how we’re accomplishing these $30 margins on a cash basis I will now, and tell you how we’re doing this, I’ll now turn this over to Ur-Energy’s Senior VP of Operations, Steve Hatten. Steve, few words please.
Steve Hatten: All right, thanks Jeff. As you’ve heard me say in previous webcast and many times before, as we’ve talked, the well installations in mining at one had been complete for some time with one rankle this time. We have recently modified the completions in our Header House to see if we can enhance the injectivity for being greater well performance. This Header House, Header House 13 is slated to come online this month. Development work in the second mine unit continues to be limited as mine unit one has met our product needs to date. However, we have installed wells in the first three Header Houses of the second mine unit, that’s mine unit two, and started the installation of production support system such as power lines and pipelines on a limited basis. Many of you by now have noticed that the dialog for development work has changed very little over the last few webcast, this can primarily be attributed to the ongoing excellent recoveries in the first mine unit. As a matter of fact, it’s been approximately seven months since our last Header House was started and yet we’ve been able to maintain production at desired levels. In short, Lost Creek continues to impress. On the next slide, Lost Creek production results, we’re going to continue to build on the theme from the last slide. You can see from the data that we’ve been able to maintain the average grade in the first mine unit with it only declining 24% over the last four quarters. Again this is true, even though the last Header House, Header House number 12 in mine unit one was started seven months ago. Another take away is the consistency of pounds drummed and shipped, by allowing for us to continue to build inventory at the convertor during the quarter. As for plant and operational activities, we continue to maintain operating systems as necessary for the production rate. In addition, we continue to advance the permitting of classified water disposal systems which will reduce the load on our deep disposal well. Finally, on the Lost Creek operational results on slide 10, we have a few more thoughts on the Lost Creek operations. First, one of the declining trends we like, declining cash cost per pound. As you can see the costs are down 17.5% in 2015 compared to 2014 and the trend has continued to carry over into the first quarter of 2016. The reason again, excellent recoveries and duration of operations in the first mine unit has allowed for minimal investment per pound on capital type expenditures, wells, Header Houses, power lines, pipelines, roads, etcetera. Second, our sales plan and contract portfolio has allowed us to maintain reasonable margins in a market where, as Jeff has said previously, cash flow is critical. And as previously stated, we continue to build inventory at the convertor to satisfy contractual needs. All combined development, operations, processing and excellent recovery rates has helped Ur-Energy to become the lowest cost producer of all publicly traded companies world-wide. Finally, before I hand it off, I’d like to thank the folks who were part to make this happen. We’ve employees in Littleton, Colorado [indiscernible] and most importantly at the Lost Creek project in Sweetwater County, Wyoming. So with that, I’d like to turn it back over to Jeff. And thank you very much for your time.
Jeffrey Klenda: Great, thank you Steve. And I’m going to make just a couple of other ancillary comments. I’m a little more [indiscernible] than Steve. The fact is, is that Lost Creek has proven to be a truly unique property. And one of the things that we’ve seen is that as most of you are well aware, we started out with head grades that were multiples of what were anticipated and while we’ve seen a normal decline curve in those head grades we are still well above what any of our projections were before we started production. And what that has allowed us to do is that because of that excellent longevity in mine unit number one which is truly extraordinary that’s allowed us to postpone the expenditure of necessary CapEx we thought that we would be well into mine unit number two. So Lost Creek not only has proven to be an exceptional property but it’s kept us in very good stead and continues to do so and has resulted in our company and join the solid fundamentals that we do with the present. With the report on that, I will now turn it over to Ur-Energy’s Chief Financial Officer and Chief Administrative Officer, Roger Smith. Roger?
Roger Smith: Thank you, Jeff. This slide, slide 11 shows our cost per pound sold per quarter and also shows the average sales price that we received is compared to the average spot price during the period. During the quarter we sold £75,000 including loan contract sales £25,000 at $39.35 per pound and one spot sale of £50,000 at $34.50 per pound. This generated uranium sales revenue of $2.7 million at an average price of $36.12 per pound, as compared to the average spot price during the period which was $31.85 per pound. The average cost per pound sold decreased to $24.73 per pound during the quarter. As a result, our gross profit was $11.39 per pound which represents a gross profit margin of about 32%. On a cash cost basis, our gross profit was $20.71 per pound or 57% on a gross profit margin basis. While our average cost per pound sold decreased in Q1, we do not expect it to decrease in Q2. Once again we have intentionally throughout our back our production to meet our contract sales requirements. And as you’ll see on the next slide, our cost per pound in the inventory increased slightly which will lead to a slightly higher cost per pound sold in Q2. These slide shows the number of pounds held in the various stages of our inventory in the related total cost per pound of the finished product at the conversion facility. During the quarter we built our drummed inventory at the plant in conversion facility going from £94,000 to £195,000. This is a direct result in drumming and shipping a consistent amount of pounds during the quarter, but only selling £75,000. Indian inventory consisted of £72,000 in process, £22,000 of dried and drummed pounds at the plant and £173,000 of finished product at the conversion facility. The ending cost per pound at the conversion facility increased slightly from $25.23 to $25.34 per pound during the quarter and consisted of severance and ad valorem taxes of $2.57, cash cost $15.85 and non-cash cost $6.92. The increase was primarily due to capturing few pounds during the quarter. As the higher cost per pound captured in Q1, makes its way through our inventories and will ultimately result in a slightly higher cost per pound at the conversion facility and a higher cost per pound sold in Q2. On sales of $2.7 million we generated gross profits of 859,000 which represents a gross profit margin of 32%. Our operating expenses for the quarter were $2.8 million before accretion expense as compared to $3.2 million in 2015. We have been attempting to reduce our operating cost as you can see from the next slide. Over three years, our operating costs have decreased from $26.4 million to $12.8 million. Of course, 2013 included final development expenditures prior to the startup of operations, so development expenditures in 2013 are not directly comparable to 2014 or 2015. In 2014, our first full year of production, we began to throttle back our development activities in light of continuing low uranium prices. We had slightly higher general and administrative cost in 2014 primarily due to higher outside service cost. In 2015, we maintained production levels that were consistent with our contractual sales commitments and continued to reduce our development expenditures in the process. We also lowered our general and administrative expenditures to 2013 levels by reducing labor and outside service costs. In 2016, we will continue to control our operating cost and will make additional efforts to reduce them where possible. As we head further into 2016, we have two contract sales in Q2 for a total of £137,000 at just over $39 per pound, which compares favorably to the average price in Q1 which was $36 per pound. Assuming production levels and costs are consistent with the previous quarter, we expect our cost per pound sold in Q2 to be slightly higher than the cost per pound sold in Q1 which was just over $25 per pound. We estimate the gross profit margins during Q2 will be similar to Q1 32% with higher average sales prices offsetting the expected higher average cost per pound sold. In closing, I’d like to thank our finance and IT teams. We have an excellent reporting system here and with it, we’re able to better manage our business, so I want to thank them personally for their efforts in providing this. And also thanks to everyone listening today. Back to you Jeff.
Jeffrey Klenda: Great, thank you Roger. I think that’s – as you just head from Roger, this is a high priority for us, we will continue to monitor the company’s expenditures. We have already seen dramatic, I think cost reductions, we continue to see our cost fall and our inventories rise. And I think that it’s important and one of the takeaways from what Roger just mentioned was the fact that because we are intentionally throttling back our production we do expect that we will see a slight rise in cost of those and they’ll continue to be industry leading cost structures. We think that it’s prudent at this point in time and of course, we’ll continue to react as to the market depending on the prices that we see out there in the market place. Boberg, if you would please, we’ll close out the part of the webcast this morning with just a brief discussion on Pathfinder and Shirley Basin. As I mentioned, we continue to advance permitting and licensing on Shirley Basin. It costs us very little to do this, we are able to do this with our existing staff. We have not incurred a great deal of expense, we do not anticipate a great deal of expense in advancing this year but it’s very important that we continue to move it forward and be prepared to ramp production when we finally get those signals from the market that it’s in appropriate time to do so. Until then, we will continue to focus on as a company, continuing to lower our costs across the board, we like to think that we’re a pretty lean, clean efficient machine right now but there is always room to improve. Secondly, with respect to our long-term sales agreements as of course we’ve already discussed, we have excellent off take book through the remainder of the decade, but at this time we are very, very selective as to what contracts we’ll except – as you might except the utilities see this as a very opportunity time to come into the market place with RFPs. We have been contracting aggressively over the course of the last five years, and while we are responding to request for proposals right now from the utilities, it’s only – we’re only responding and bidding at prices that we can live with and that fit into our off take book. And so we’re going to be very selective about which contracts, if any we expect that in the very near term. Finally, moving forward we will continue to focus on our production growth profile. We were able to increase our resources measured and indicated by 53% last year and 36% in the inferred category in 2015. This again is going to be high priority for us but we’ll do it our way. We won’t acquire pounds for the sake of acquiring pounds to identify pounds in the ground. We will grow our pounds only in a meaningful manner in and around our production areas where we know that their pipeline will go into the plant and we’ll continue to extend that life of mine. Also with respect to M&A activities, I think that one of the things that most of the folks on this call understands that during this time there is a lot of consolidation taking place. There are a number of acquisitions also in the works. We find it right now there are two luxuries out there in the market place that you really can’t afford. One of them is exploration drilling, you notice that even the largest in our industry with the exception of the exploration companies the most successful ones of course in the after [indiscernible] Basin efficiencies in the next gens of the world, they will continue to explore but for the rest of us that are producing entities, the cost of exploration right now is once again a luxury that we’ll postpone for the time being but grow the resources where we see other opportunities. The other luxuries that I think you cannot afford to engage in at this point is making poorly thought out acquisitions. I think that there is some of that going on in our industry. We have other things that we’re interested in and that we think would complements our assets very nicely but again we’ll be very selective and unless we can demonstrate that it’s tremendously accretive to our company and our story we won’t be making acquisitions just for the sake of pointing to pounds on the ground. Finally, we will continue as a company to work on greater efficiencies out it’s Lost Creek plant and advance Shirley Basin so that it is ready to go into production when we feel that the market is ready to accept it. And with that, that concludes our formal presentation. And we’ll now move forward and accept your questions.
Operator: We’ll now begin the question-and-answer session. [Operator Instructions] Our first question comes from Heiko Ihle with H.C. Wainwright. Please go ahead.
Heiko Ihle: Hey Jeff, thanks for taking my questions and congratulations on the hedging program which works out quite well yet again for the quarter.
Jeffrey Klenda: You bet, good morning Heiko.
Heiko Ihle: Hey, can you give me an estimate as well to cash cost versus non-cash cost, frankly I think I’m guilty of not having paid enough attention out in the past, but I noticed over the past four quarters cash costs has gone up 25%, non-cash cost have gone down by 45% in the same period. Does that make a trend, is this just a fluke, I mean you talked about a lot of cash cost reductions in the earlier parts of this call. Can you just sort of walk me through how that is, why that is?
Roger Smith: It’s Roger Smith here. What you’ve noticed is probably there are cash cost at the well field remained relatively consistent over the past few quarters which they are, because majority of our cost are fixed in nature. Well field cash cost for instance in 2015 Q4 were just over $1.17 million and in 2016 Q1 $1.13 million, so very little change. Meanwhile there are our pounds captured at the well field decreased during the quarter and that’s what [indiscernible] to the increased in the cash cost per pound. On a non-cash cost basis, our non-cash cost are also largely fixed, so you see that same increase because that’s directly related to the change in the pounds. And that’s what I alluded to in our presentation is that because we capture fewer pounds during the quarter, those higher cost per pounds captured will eventually make the way through the inventory in Q2 and end up as to cost per pound sold, so we do anticipate slightly higher cost per pound sold. I do expect our cash cost to remain in line, they don’t change a lot in Q2. I don’t have any reason to think they’re going to be change dramatically, so what it will come down to in Q2 is what our production levels are in that quarter as to where we see our cost profile at the end of the quarter.
Heiko Ihle: Fair answer, fair answer. Thank you guys, I’ll get back in queue.
Jeffrey Klenda: Okay, thanks Heiko.
Operator: Our next question comes from Joseph Reagor with Roth Capital Partners. Please go ahead.
Joseph Reagor: Good morning guys, thanks for taking the questions. I guess the first thing I noticed was the mark of this year contract sale which created the differed revenue account. Can you give us a little bit more idea of how large, how many of that pounds were in that and what’s the timing of that delivery would be so that we can kind of model appropriately?
Jeffrey Klenda: Sure. Well I think with – first of all with the assignment it was £200,000 and that was the delivery to that utility. And that was the – by the way the postponed delivery from Q1. So that would have normally occurred, I think we had the model for the first quarter, so then that was pushed to the second half of the year. And as I mentioned, we’re very strong with our contract but we weren’t strong enough to withstand a $12.5 million postponed on a transaction. So we did book buy those pounds in the market place and what you saw was – what was press release was the amounted to the margin between what our contract price was and what we were able to purchase them for in the market place.
Roger Smith: Right. And in terms of how the line, the delivery is that we’re delayed to the second half of the year and that differed revenue that you see on the books were unwind as those deliveries takes place in the third and fourth quarters of this year, roughly half in each quarter.
Joseph Reagor: Okay, that would give my next question half and half. Okay, and then looking at – taking that out of the equation and since that’s essentially being covered, how many total pounds you guys now looking at selling this year and how many pounds are you looking at producing?
Jeffrey Klenda: Well we – the sales as it was on one of the prior slides is going to be £662,000 under contract this year. Anything beyond that will be discretionary sales into the spot market. And so we’ll continue to monitor that – I think that it’s a fair question and let’s put something into perspective here. And that is that, for any one of us as company we have to take a look current market and ask ourselves where is the threshold below which it makes more sense for us to simply buy the pounds in the market place rather than produce them. You notice that even with KAMICO’s announcements from a couple of weeks ago that they are purchasing upwards of £9 million this year, we’ll engage in that to a much smaller degree of course, but it only makes sense that we have to recognize what those thresholds are at these lower prices in spot and react and respond to them accordingly.
Joseph Reagor: Okay. And then does that £662,000 include the £200,000 differed revenue sale or is that exclude that?
Jeffrey Klenda: No that’s included in the £662,000, so what we’ll have outside of that is £462,000 and we’ll remain to be delivered into that contract.
Joseph Reagor: Okay. All right, I’ll turn it back over. Thank you.
Jeffrey Klenda: Great.
Roger Smith: Thank you.
Jeffrey Klenda: Thank you, Joe.
Operator: [Operator Instructions] This time, I’m showing no further questions, I would like to turn the conference back over to Jeff Klenda for any closing remarks.
Jeffrey Klenda: Great. Thank you very much. Look, ladies and gentlemen, once again we appreciate your support and joining us today on the call. I think that we all recognize that not just in uranium but in many of the other extractive resources and industries. It’s a very challenge time but as you’ll see we’ll go and secure for low prices as low prices. I don’t know how much longer that we will see this continue but these times do serve a purpose and that is that they can cleanse and they can clarify, and I think that what you’ll see over the months and quarters ahead is that the strongest companies that are well positioned right now with long-term sales agreements are going to continue to thrive and others are going to have defend for themselves and we’re going to see changes in this space. As a result of it, again I think that this conserve as a cleansing period. Those that of us that have contracts we feel very fortunate that our management and our board had the foresight to put these contracts into place. You simply cannot go out and get them now, so you either have them or you don’t. So I do believe still as many of the analysts are projecting that when the turnaround does come I think that it’s going to happen very quickly, and I think that it could be as potential of being a very viable and turnaround in nature. And I’d like to think that if you’re going to position in this space or you want to be positioned for when that turnaround comes, a company that is well structured and well protected as ours makes a great place to be. So, I’ll leave you with that thought and thank you very much again for your attendance and we’ll talk to you next quarter. Bye for now.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.